Operator: Ladies and gentlemen, thank you for your patience and holding. We now have your presenters in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of this morning’s remarks, we will be opening the floor for questions. And at that time, instructions will be given as to the procedure to follow if you would like to ask a question. It is now my pleasure to introduce today's first presenter, Mr. Paul Alexander.
Paul Alexander: Thank you and good morning, everyone. Welcome to Kimberly Clark's year-end earnings conference call. This morning, you will hear from Mike Hsu, our Chairman and Chief Executive Officer; and Maria Henry, our CFO. We sincerely hope everyone is continuing to stay healthy and safe and in keeping with our social distancing procedures, this morning, Mike, Maria and I are each in different locations in our Dallas office. As a reminder, we will be making forward-looking statements today. Please see the Risk Factors section of our latest annual report on Form 10-K for further discussion of forward-looking statements. Finally, we will be referring to adjusted results and outlook, both excludes certain items described in this morning's news release. That release has further information about these adjustments and reconciliations to comparable GAAP financial measures. Now I'll turn the call over to Maria.
Maria Henry: Thanks, Paul, and good morning, everyone. Thanks for joining the call this morning. Let me start with the headlines for the full year results. We delivered strong top and bottom line growth and exceeded our previous outlook. We significantly increased our brand and capability investments and improve our market shares. We generated excellent cost savings and cash flow and we returned significant cash to shareholders. Now let's cover the details of our results starting with sales. Full-year net sales were $19.1 billion, that's up 4% year-on-year and included a 2 point drag from currency rates. Organic sales grew 6% with healthy underlying performance and increased demands related to COVID-19. Volumes were up 4% and net selling prices and product mix, each increased 1%. Mike is going to provide more color on our topline and market share performance in just a few minutes. Moving on to profitability, full-year adjusted gross margin was 37.1%, up 210 basis points year-on-year. Adjusted gross profit increased 10%. We generated $575 million of cost savings from our FORCE and restructuring program, that was well above our initial target and slightly better than we expected in October. For 2021, we're targeting $400 million to $460 million in total cost savings. Commodities were favorable by $175 million in 2020, although they turned inflationary in the fourth quarter. We're planning for commodity inflation of $450 million to $600 million in 2021. Costs are projected to increase broadly in most areas, including pulp and recycled fiber, resins, superabsorbent and distribution expenses. Other manufacturing costs were higher in 2020, including costs related to COVID-19. Foreign currencies were also a headwind reducing operating profit at a high single-digit rate. Moving further down the P&L, between the line spending was up 110 basis points as a percent of sales. That was driven by advertising which was up 90 basis points. SG&A spending also increased and included higher incentive compensation along with capability building investments. Adjusted operating margin was 18.7%, up 90 basis points and adjusted operating profit grew 9%. In terms of company profitability for 2021, the midpoint of our planning assumptions implies a 70 basis point decline in adjusted operating margins. And while there are a number of moving pieces, it's likely that adjusted gross margin will be down somewhat more than that. Turning back to 2020 results, full-year adjusted earnings per share were $7.74, up 12%. Our October guidance was for earnings of $7.50 to $7.65. In addition to the strong growth in adjusted operating profit, the bottom line benefited from higher equity income, a lower share count, and a slight decline in adjusted effective tax rate. Now let's turn to cash flow and capital efficiency [ph]. Cash provided by operations was an all-time record $3.7 billion, up $1 billion year-on-year reflecting outstanding working capital performance and strong earnings. Cash flow is expected to be down year-on-year in 2021 driven by higher cash taxes and working capital. Nonetheless, cash flow should remain strong and well above 2019's level. Capital spending was $1.2 billion in 2020, in line with plan and the prior year. We plan to spend between $1.2 billion and $1.3 billion in 2021, including activity for our restructuring program and a pickup in growth projects. Based on an initial outlook at longer-term opportunities, we believe spending will be elevated again in 2022. On capital allocation, dividends and share repurchases totaled $2.15 billion. That's the 10th consecutive year, we've returned at least $2 billion to shareholders. We expect to return a similar level of cash to shareholders in 2021. And as mentioned in the earnings release, our Board has already approved our 49th consecutive annual dividend increase and authorized a new $5 billion share repurchase program. Let me finish with a short update on our restructuring program. We continue to make significant progress as we head into the last year of this program. We're about 85% to 90% through the total pretax charges, which we've increased somewhat to reflect delays as a result of COVID-19 and costs for additional savings opportunities. So far, we've generated $420 million of savings and expect to achieve between $540 million and $560 million of savings by the end of 2021. Our original savings estimate was $500 million to $550 million. Finally, at this point, cash payments are about 75% to 80% complete. Overall, it was an excellent year financially, while we invested more in the business for the long term and navigated the COVID-19 environment. I'll now turn the call over to Mike.
Michael Hsu: Thank you, Maria, good morning everyone. Okay, let me begin by saying that I'm very proud of our K-C team and our accomplishments in 2020. We worked tirelessly to protect the health and safety of each other by setting and maintaining strict safety protocols, all of which are in place today. We kept our global supply chain running and safely served the needs of our consumers and customers and in many cases delivering record output. At the same time, we delivered healthy topline growth across our portfolio, gained market share, invested the strength and long-term brand fundamentals and delivered strong financial results. Looking more closely at our business segments, we saw excellent performance in personal care, with 5% organic sales growth and strong share performance. In North America, organic sales rose 6% driven by broad-based growth in baby and child care. Our market shares were up nicely on both Huggies diapers and Goodnites Youth Pants. In D&E markets, personal care organic sales were also up 6% despite volatile market conditions. More specifically, personal care organic sales were up double digits in China, India and South Africa, up high single-digits in Europe and up low single digits in Latin America. We also improved our share positions in many D&E markets. Looking at our other segments, organic sales were up 13% in consumer tissue and down 7% in K-C Professional. As expected, both businesses experienced the effect of COVID-19 and the shift to more consumers working from home. We're pleased with how our K-C team managed through that volatility. To meet elevated demand in consumer tissue, we significantly reduced our SKU count and leveraged our global supply network to increase production, including support from KCP. We continue to focus on category expanding and brand-building programs, while improving our market execution. Those actions helped us gain market share for Kleenex facial tissue in North America and Europe. In KCP, where the washroom category continues to be a significant part of our business, we made good progress pivoting the growth opportunities in other parts of the business, including in wipers and safety products. Sales of those products were up double-digits in North America. Importantly, we grew or maintained market share in approximately 60% of the 80 key cohorts that we track. I'm pleased to see our brands winning in the marketplace. Overall, our results were strong and I'm encouraged by the way we executed in 2020. Next, I'll turn to our outlook for 2021. We expect a more challenging environment, especially compared to last year. More specifically, we expect some of the net benefit from COVID dynamics, including higher consumer demand to reverse. In addition, commodity costs are rising globally and were also reflecting our latest view on economic conditions and birthrate trends. Despite these factors, we're confident in our ability to deliver topline growth and expect to strengthen our market positions and improve our company for long-term value creation. Our plans call for total sales growth of 4% to 6% in 2021 and that includes 2 points from the Softex acquisition, and a 1-to-2-point benefit from currencies. We expect to grow organic sales 1% or 2%. We plan to leverage and scale our brand building capabilities and investments that we've made over the past two years. We have a healthy innovation pipeline including near-term launches for Huggies in North America, China, Eastern Europe and Latin America and we've also upgraded products for our global Kotex brand in several markets. We expect to benefit from selective pricing actions and other revenue management programs, but we're not currently planning for broad-based list price increases. And we will continue to make capability and technology investments to drive long-term success. On advertising, spending should be similar to 2020 levels and this reflects the increases we made over the last two years and confidence in the strong ROIs from digital. We believe this level investment is sufficient to support our growth plans in the current environment. On the bottom line we're targeting adjusted earnings per share of $7.75 to $8. That's evened up 3% year-on-year. We're focused on delivering our annual plan, while managing the quarter-to-quarter volatility that could be higher than normal in this environment. Finally, because of the different COVID dynamics in 2020 and 2021, we think it is relevant to consider our performance over both years. So on that basis, using the midpoint of our 2021 outlook we're projecting to grow organic sales approximately 4% and the increased adjusted earnings per share of 7% on average over that two-year period. Those growth rates are slightly above our medium term objectives. In conclusion, we're on track with K-C Strategy 2022 and we're managing effectively through a very challenging environment. We're improving our topline and strengthening our brands, our market positions and our company for the long-term. We continue to be optimistic about our opportunities to deliver balanced and sustainable growth and create shareholder value. That concludes our prepared remarks and so now we'll be happy to take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Lauren Lieberman with Barclays.
Michael Hsu:
Lauren Lieberman: Thank you, hi. I guess the first thing is the area that I'm hearing I guess more concerned about in the outlook for next year is on sales and organic, and it's also the 1 to 2 is kind of above what we were thinking was likely. And I just was curious to kind of may be understand a little bit about how market growth is playing into that outlook, how mix and you said no pricing, but perhaps mix is a bigger part of it than may be is externally appreciated. And then also you've got the big lapse in consumer tissue, so I would be curious a little bit more on that build to organic sales being up in 2021 with the backdrop of the tougher birthrate environment?
Michael Hsu: Yes Lauren, the 2020 outlook definitely reflects our confidence in our ability to sustain healthy brand performance, but we do expect to have a net drag due to the COVID overlap or the COVID affected demand overlapped from 2020. So and that 1 to 2 organic it's in the lower half of our range, but it does reflect health underlying performance in both personal care and consumer tissue, personal care being up as I mentioned about 5% organic in the fourth quarter. And then we believe towards the second half and improvement in K-C Professional. The drag from consumer tissue, the way we're looking at that business and we're tracking, we think there is a pretty good correlation with mobility data. We do expect the current environment in developed markets to look similar to what it is right now through the first half and then for people to gradually begin returning to work in the second half, and so that's what we factored in. We know there will be a cycle and in our plans right now certainly a part of it will be, there will be -- will be lapping some big stock of activity that occurred toward the end of the first quarter of last year and throughout the second quarter of last year. We know we'll be cycling that, but we do still expect at home consumption to be somewhat more elevated certainly than 2019 and down from 2020, but still certainly little more elevated. And then we feel like we have strong momentum in our personal care business globally. And as you go across markets we saw robust growth and share growth against most of our personal care businesses across markets.
Lauren Lieberman: Okay. And what are you assuming for that birthrate, I know there is Brookings Institute study that talks about the birthrate being down an estimated 8% in 2021 in North America. Is that sort of what's folding into your outlook you know or is it something less severe than that?
Michael Hsu: Yes, we have in our outlook in North America a birthrate decline, not as severe as that I would say, but in that mid-single-digit range. However, I do think the more recent category they would suggest that the caddy was running a little ahead of that and so we've seen that data. Our team especially in North America is working closely with that. I will see the category or sales were up about -- for the category about 3% in the quarter. And so for the past several quarters I think the North America category has been trending ahead of that.
Lauren Lieberman: Okay, great. And then just the last thing on consumer tissue is about promotional activity, and so it was really just in the fourth quarter you had this very strong pricing number you specifically talked about the lack of promotion in those numbers, but I was just curious on, given the forecasted pulp inflation, given what you've talked about in terms of inflation that's in your outlook and then you said no pricing assumed, but how do we think about promotion may be coming back into the marketplace in 2021, is that 2 or 3 is that also contemplated in the organic sales outlook?
Michael Hsu: Yes in North American…
Maria Henry: Yes…
Michael Hsu: Oh go ahead Maria.
Maria Henry: No, no, please go ahead, Mike.
Michael Hsu: Okay, sorry, we're in different rooms and so we have better job of playing the traffic cop, but I'll just start here and Maria can also add some thoughts. But, definitely the promotion activity in the fourth quarter was down as it was most of the year for us in North America. We're expecting what -- where demand is and we're still catching up to supplying our customers. That promotion intensity will still be down in the first quarter at least and probably the first half. We expect it to return to more normalized levels in the back half, but again our plans are for lower promotional activity in the first half. Certainly, given where commodities are, we expect to make the moves that we need to make to make sure that we can continue to drive our margins and so certainly additional cost savings and additional activities in RGM selective price increases will be on the plate for us.
Lauren Lieberman: Okay, all right, great. Thank you so much.
Michael Hsu: Maria?
Maria Henry: Yes, the only thing I would add there Lauren is that in the fourth quarter, the North America consumer tissue pricing was a bit elevated, because we evaluate our trade programs on a full year basis, and as we close out the year, there was a bit of incremental benefit in that number.
Lauren Lieberman: Okay.
Maria Henry: Those timings also sort of reflects in their backward place and timing.
Lauren Lieberman: Okay, all right. Thank you, so much, that's helpful.
Operator: Thank you. Our next question comes from Olivia Tong with a Bank of America.
Olivia Tong: Hi thanks, good morning. I wanted to see if you could talk a little bit about more about the components of your 2021 organic sales outlook, whether volume versus price mix or by product segment or geography. First, like similar to 2020, are you expecting fiscal 2021 to show segment growth in two or three segments, while one clearly lags? And then just a little bit more color on the North American consumer tissue pricing, I know you said that there was a little bit of timing. So, is it just a function of sort of like marking to market essentially at the end of the year and Q4 will obviously set up for a more dramatic comp next year, or is there something else in that? And then I have a follow up on my pricing, thanks.
Michael Hsu: Yes, Olivia maybe I'll start there. Just overall on the consumer tissue, again I think there certainly will be a lap in the first half in developed markets like North America. We saw significant elevated demand through the -- by March of last year, and that ran through all the second quarter. There was two components to that, one is just people being at home more, and therefore driving elevated consumption, and then the other part was, as you read about in the papers, the high stock up levels, and people carrying a lot more inventory home. We do think just that we're going to have to cycle some of that extreme stock up behavior, but we do think consumption levels at home will remain elevated, at least for the first half and then, tailored -- feathered down in the back half of the year. So that was part one, I forgot what your other part was of your question.
Olivia Tong: Yes, I think it was around North America, again. Right.
Maria Henry: Yes, sure. So, we manage the trade programs on a full year basis and we make ongoing assessments throughout the year to keep those estimates updated. Given the unusual year that we had this year in consumer tissue and the way that demand and supply have played out, customer specific plans and events have changed more dynamically than they have in previous years and that made it even harder to forecast. So as we closed out the year, and really squared those balances, we had a bit of an incremental benefit in the fourth quarter. And so if you think about that, it's really timing related to the -- versus the previous quarters of the year. So that was part of it. It's important to emphasize though also in the fourth quarter with the dynamics we did indeed have lower promotional activity.
Olivia Tong: Right, okay, thanks. And then, I know you said that you weren't embedded in the 2021 outlook is no pricing, but now pulp prices are obviously up a lot, but they're still below prior peak, so can you just, like is it possible to take price increases if pulp continues to inflate [ph] or does it have to reach the prior peak in order to even consider that?
Michael Hsu: Olivia, I think we said, we didn't say no pricing. We said no kind of broad based list price increases, but we have plenty of select pricing actions across our businesses in multiple markets and so we will be making price moves. Whether that -- we have some plans around count. We have some selective list price actions in some markets, and then certainly with revenue growth management, how we manage our trade funding and how we get more efficient in our trade funding, we will be making some moves there. So, I think there's no absolute rules in terms of what you're cycling in terms of the commodity and everything else, but our goal is to drive margin expansion. It's called our KC 2022 [ph] strategy and we're confident in our ability to deliver long term. I think, given kind of the heavy puts and takes driven by the current environment, it's reasonable to expect some choppiness from quarter-to-quarter, whereas in the case of this year even year-to-year, but long term our intent is to drive margin expansion and cost management and pricing management is a core aspect of that.
Olivia Tong: All right, thank you.
Michael Hsu: Hey thanks.
Operator: Thank you. Our next question comes from Dara Mohsenian with Morgan Stanley.
Dara Mohsenian: Hey guys.
Michael Hsu: Good morning, Dara.
Dara Mohsenian: So just two questions. First, I just wanted to follow up on pricing. Your commentary was helpful, but you are looking at significant commodity costs increases as you outlined for 2021. So maybe just talk a little more conceptually about your approach to pricing. Are you a little more hesitant to be aggressive in terms of pushing it given you're coming off a couple years of gross margin expansion? Is there may be more pricing later in the year? Just sort of how you think about pricing across your portfolio in light of what does look like it will be pretty significant commodity pressure? And then secondly, we did see some slowdown in this in the US in December, January, is that more temporary factors where there will be supply constraints or consumer de-loading? Is that expected to be more of a temporary phenomenon or how are you thinking about trends over the next couple of months given what we've seen in the recent U.S. [indiscernible]. Thanks.
Michael Hsu: Yes, okay. Maybe Dara I'll start the last part first which is, I think yes we did see a run up in December from consumption, particularly on tissue. It has softened a little bit and so we saw that throughout last year. And so, it's moving around quite a bit from month-to-month and actually week-to-week, if you look at the details. So that's something we expect, but we do think that the fundamental dynamic is, there are more people at home at this time than they were last year, that will continue through a big chunk of 2021. And then at some point, when hopefully when the populations in markets get vaccinated and people will be returning to work and we'll see a decline in some at home tissue consumption at that point. But for our purposes I think we've got that in the call and we've gone through a thorough forecast of that. With regard to the pricing, again we do expect some significant cost inflation in the year. It's in our plans and that's going to affect both the consumer tissue side and the personal care side. We're going to take appropriate actions and certainly that's going to -- we're going to pull all the levers and I've mentioned already, certainly around cost management. But in addition to that, it's one of the reasons why we're very pleased that we've got a robust revenue growth management capability up and running globally across our regions and the levers that we are working. I mentioned Olivia will be selective count changes. Some selective price list price increases, and then a lot of work around trade efficiency and managing promotions. On the promotion front I would say the pricing environment, we expect that to remain constructive for the dynamics I just mentioned, but Olivia which is I think demand will continue to be a little bit elevated with supply under pressure in developed markets, especially in North America. And so we feel good about the progress we've made on our [indiscernible] strategy and I'm really not interested long-term on kind of renting share through promotion activity. And so we're going to work hard to continue to drive a strong base, a robust based business.
Dara Mohsenian: Great, thanks.
Michael Hsu: Thanks, Dara.
Operator: Thank you. Our next question comes from Kevin Grundy with Jefferies.
Kevin Grundy: Great, thanks. Good morning everyone and congratulations on a strong year, particularly in the current environment. Maria, first question for you just on commodities, because naturally it is a big, big focus for the company. Can you maybe just spend a little bit of time on some of the key assumptions by your key commodity exposure that's embedded in your 2021 outlook? And then I believe it's fairly common not to enter into any notable hedging, maybe just confirm that if you do have any hedging in place and then I have a follow up next.
Maria Henry: Sure. I'll start with the hedging questions. We broadly don't use hedging. We do take advantage of our contract negotiations to try to put some parameters around the highs and lows that we will experience on certain commodities, but no formal hedging. In terms of the 2021 outlook, is a reminder if commodity costs in general were at low levels in 2020, particularly in the first half of the year, and costs for many inputs, excluding pulp started to move higher sequentially over the last couple of months and exited the year already meaningfully above 2023 or average. So many of those are expected to move higher again in the early part of 2021. If you look back three months ago, we were expecting some inflation in 2021 and the forward outlook has moved higher, just in the last 60 days. The top two inflation drivers for this year are expected to be pulp and polymer based materials. Together those two input costs represent more than half of the inflation outlook. So if I tick through a few things, virgin pulp, we're expecting inflation, and that follows a year and a half of very low pricing. So in virgin pulp we're looking for it to be up high single digits on average. Polymer resins we're expecting to be up significantly, 30% or maybe even higher in North America, non-wovens and superabsorbent will follow that but to a lesser degree. Those dynamics are largely supply driven at this point. Recycled fiber, we're expecting to be up mid teens. Distribution costs we're expecting to remain inflationary and that's mostly due to industry supply constraints and other material such as third party purchased safety gloves and PPE and KCP are facing significant increases if you look at what's happening in those markets. So that's the assumption for 2021.
Kevin Grundy: That's very helpful Maria, thank you. Mike, I'm going to apologize ahead. I'm going to ask on pricing maybe a little bit differently, not to beat the dead horse here, but just on the heels of what Maria just communicated, and the fact that the commodity increases like roughly 300 basis point unfavorable impact, understanding you're coming off of a strong gross margin year, also understand you said, at this point you're not planning on broad based list price increases. What do you think that either you or retailers want to see? I know sometimes there's you know retailers want to see certain permanence if you will, to price increases, they don't want to whip prices around, frankly nor do you as the brand owner. But, given the fact that you're looking at 300 basis point headwind close to it and then you sort of tumble through the numbers for what you guys outlined for FORCE savings and restructuring, and there's not a big offset, not a tremendous offset outside of those two favorable numbers at least we're kind of doing the math right in terms of what you're getting around revenue growth management, et cetera. So it kind of begs the question, why not, with respect to pricing behind a strong brand portfolio. So, hopefully I asked that a little bit differently, just would be great to get your response and I'll pass it on. Thank you.
Michael Hsu: Yes, I mean, Kevin. Yes Kevin, I think we're still working through kind of the mechanics of how we will drive the realization. I will say the pricing calls have come in more recently and so they've changed over the last several months. And so we are working through that and, but certainly we recognize the goal is that we've got to drive margin expansion and we need to recover some of the input cost increases. And so for us pulling our lever across both the commercial side and our cost side, whether that's supply chain costs, or being a little bit more aggressive on taking the right pricing actions for us is going be important for this year, and so we are going to make those moves as we kind of work through the plan.
Kevin Grundy: That's helpful. Thank you very much. I'll pass it on. Good luck.
Michael Hsu: Thanks Kevin.
Operator: Thank you. Our next question comes from Steve Powers, with Deutsche Bank.
Steve Powers: Hey, great. Thanks, good morning.
Michael Hsu: Good morning, Steve.
Steve Powers: Hey, so I have a question also on guidance, but more on the drivers as it relates to operating income. So if I take the midpoint of your sales guidance and apply it to 2020's operating income base, grow it say 5%, subtract out the midpoint of your inflation outlook, add back expected savings also round about the midpoint, I essentially tie out your 2% OI growth guide. So first, just want to kind of validate if that's a fair way to think about it, and if it is, I guess I'm a little surprised at its simplicity, and so I'm guessing that there are some moving parts around those variables. If you could maybe call out some of those moving parts and think about how you're thinking about them and why they sort of cancel each other out? It looks like you get a little bit of net leverage on the constant dollar based marketing spend, but I'm just struggling to find out some of the nuance around the OI guide.
Maria Henry: Sure, I'll go ahead and take that one. If you are thinking about it the right way, Steve, if I look at our 2021 outlook, we're expecting a solid benefit from top line growth. On the organic side of that we're expecting positive volume mixed end price. And then in addition to that, as Mike mentioned, we've got the benefits from Softex and currencies will be -- are expected to be a benefit on the top line. In addition to the benefits from sales, we are expecting good cost savings in this year and going the other way, we've got commodity inflation, which we talked about. And we're also continuing to invest in the business and experience kind of general non-commodity inflation. And, it is pretty straightforward as you've done the math, that kind of gets you to our guide on operating profit. And then below that, we would expect a lower share count. Non-operating expense will be lower. Equity income will be about similar, maybe up slightly and that will be offset by a slightly higher effective tax rate. And that's how you pick up the additional point on the top end of the EPS growth. So I think in terms of some of the nuances on advertising spend, we've given you the numbers for 2020. We would expect that to be roughly similar on a dollar basis in 2021. And we think that's appropriate for the environment that we're in and it follows two years of meaningful increases in our advertising investment. We would expect to continue to invest in capability building and technology on the between the lines side of the house. And I think those are -- I already went through the commodity assumptions, and we've talked about our pricing assumption as it relates to that.
Steve Powers: Yes, okay, that's, that's helpful. It's confirming. I guess just a little bit, I guess, versus my own coming in expectations is a little bit less, net capabilities investment that's envisioned, based on the rough math? And I guess, is that just because, maybe Mike, is this just because you've been able to fast track more of those investments the prior two years, especially in 2020 and now you're a little bit ahead of the curve or is this sort of more in line with the relative reinvestment that you'd always anticipated coming into 2022?
Michael Hsu: Yes, maybe. Yes, there's definitely a couple things, one we feel great about the investments we've made. We put in as you probably can do the math, a pretty significant investment over the last couple of years. And we feel like, that's working really hard and it's driving broad based growth across most of our markets at this point and so we feel great about that. I did say in my remarks that advertising will be -- I think 2021 levels will be similar to 2020 levels, I think we feel like that is sufficient for the growth that's in our plans for this year. But, in the near term, we want that to get more efficient, especially given everything that everybody's asked about with regard to commodities. So we're expecting productivity in terms of how we spend our advertising and how we make that more efficient and how we spend our trade, and how we make that more efficient, as well as throughout all the supply chain. So that's one part we feel like it's efficient for our growth plans for this year. That said, I will tell you that, we do have additional plans, and we are going to invest in other capability areas this year as well, right. And certainly, as we continue to drive our digital marketing programs, that's an area that we've continued to invest in in terms of capability. We'll be investing more in our cost management capability. We brought in a new supply chain leader from the outside who sees some good opportunities for us. And we will be investing to take the organization and bring the tools. And so we can systematically drive better planning and better capability across the organization across markets and deliver. We see productivity as a key enabler to our long-term strategy and to fuel the investment that we need. So, and then the last part, I would say, Steve, is, I do think that over time, I would like the investment levels to be higher for the company. And we'll continue to do that as we continue to build our plans and gain confidence in our ability to do that.
Steve Powers: Great. And if I could squeeze one more in a different line of questioning, D&E markets, I'm just curious as to your assumptions around just overall volume growth in those markets, the outlook there, just in light of the economic backdrop, birthrates in those markets, et cetera? And relatedly any commentary on how you're thinking about pricing in those markets just given that I think you'd expect a little bit less dollar based inflation given where FX is? Thanks so much.
Michael Hsu: Yes, Steve, I mean, overall, our business is fundamentally strengthening globally, but I would say, especially in D&E and we feel like we're building a better company. That improvement is really driven by better execution and the investments that we just talked about in innovation, advertising, and our commercial capability. So the improvement is really broad based. And I just think about D&E, I think growth in the fourth quarter was across every region. So we saw double-digit increases in China, Argentina, India. India, which is an important long-term growth market for us. Africa, which I may have mentioned for the first time on a call here, and then we had high single digit growth in Eastern Europe and Brazil. So we feel good about the performance our markets, I think the one area on in terms of 2021, that, we're going to continue to expect uncertainty due to COVID, particularly in D&E markets. And the reason I say that, that uncertainty is likely to be higher this year than it was last year, because infections are climbing and at a higher rate than they were last year. And so we are going to see new ways. We're expecting additional ways to hit Latin -- to occur in Latin America soon. And I think we're actually starting to see that now. And so that's going to have an ongoing effect. That is just hard to quantify. Our experience last year was an economy would maybe go on restriction on the mobility with the client for a period and then bounce back and then we saw that in Brazil.  So, for example, I think in the third quarter, the economy was locked down for quite a bit of time and then the fourth quarter, we had a high single digit organic growth increase in Brazil -- share growth in Brazil, and a very strong fourth quarter performance. And so our experience would tell us, we're going to expect and see some bumps along the way in D&E, but we are planning for overall growth.
Steve Powers: Okay, very helpful. Thank you so much.
Michael Hsu: Okay, thank you.
Operator: Thank you. Our next question comes from Nik Modi with RBC Capital Markets.
Michael Hsu: Good morning, Nik.
Nik Modi: Hi good morning. Mike, I just wanted to probe on online if I could, just a few thoughts, one, just give us general perspective on how you guys are progressing there? Two, is there any way you can measure incrementality of your online business in terms of, how many new consumers you're actually bringing into the portfolio, versus just share migration from other channels? And then three, just wanted to get your assessment on private label and how it's performing online? Because my understanding is that it's actually doing quite well relative to brick-and-mortar, but I just wanted to get your views on that. Thanks.
Michael Hsu: Yes, overall online and maybe I'll start with the e-commerce side, Nik. Going very well, for us, overall the company grew over -- well over 30%, for the full year. Heartening to know that our biggest e-commerce business was by far our fastest growing business and grew well north of that. And so, we feel really good about that and certainly you can recognize, and then in North America, what's happening with all the retailers going to omni-channel, it's driving that grocery pickup and everything else. The incrementality question, we're still working through the math of trying to track that, the data is evolving, because, at this point, it's still tough for us to separate out, we do track online enabled. But when you get into things like grocery pickup, it can be a little bit difficult to parse. And so, I don't have a great answer for you right now, but that's something we're working on. But we do feel that we are gaining share on the online channels, and growing well, and that's globally and so we're really excited about our capability there. I think underneath it is our focus on data and our data analytics capabilities in our primary ecommerce markets, really in these categories is very effective and our customers like that and they want to leverage that to be able to market to their constituents and their consumers and shoppers more effectively. Sorry, I think I missed one part of your question Nik?
Nik Modi: Just the private label share dynamic online versus what we see in brick-and-mortar?
Michael Hsu: Yes, I don't have the specifics off the top of my head. I do, I will say, generally, certainly across all channels, we saw private label shares down in general across the marketplace. But I'll have to get back to you on the online component.
Nik Modi: Great. Thanks, Mike. Best of luck this year.
Michael Hsu: Okay, thank you, Nik.
Operator: Thank you. Our next question comes from Andrea Teixeira with JP Morgan.
Michael Hsu: Good morning Andrea.
Andrea Teixeira: Well, hello good morning. So, could you help us clarify the cadence of the first quarter? If I understand correctly, your Guide for 2021 is more back loaded into the second half because you're lagging this 8% growth in volume in the first quarter? And if my math is correct, you have a two-year stack in the last quarter that just closed of about 1% volume growth. So how can we bridge into the first quarter? I understand that you have used the comps for January and February and tougher just for March? So is that because you're building in those market share gains that you were talked about? And can you give us an idea of the volume share in dollar share in customer tissue in the U.S. and globally and how you stack most recently? And in a follow-up question earlier about the pantry stocking, your response seems to indicate that you expect consumption to improve for January and February, at least to what we have seen in the U.S. kind of data. And it seems like you really should be seeing some destocking happening early January, but you expect that to normalize into the rest of the quarter. Thank you.
Michael Hsu: Okay, maybe Maria, do you want to talk about the phasing? And then I'll come back and talk about the stocking.
Maria Henry: Yes, that sounds good. As, you know, we don't provide specific quarterly guidance and current volatility in this macro environment, is certainly making forecasting a bit more challenging. What I would say though is, the pace of our earnings in 2020 was unusual and we're going to have to face that lap as we go through this year. If you look at how 2020 played out, we had that very strong run on tissue at the end of March, which enabled us to deliver a record level of sales in Q1 followed by record profit delivery in the second quarter. So, you know that the first half has very challenging year-over-year comps for us just by the math. We do expect sequential benefit from things like growth and revenue management initiatives that we talked about. Our cost savings programs should build as the year progresses and you put all of that together, and you'll kind of get a picture of how the quarters in the first half, second half might play out. But I'll turn it back to Mike to talk a little bit more about the specific dynamics on the top line.
Michael Hsu: Yes, Andrea, maybe I'll talk more to consumer tissue in North America. But, as we think about cycling, the demand from last year, I think there's one component which is, in general right now, I think we're still living in a world with elevated at home tissue demand with more people at home translates to more usage of particular bath tissue at home. Obviously, there's elevated consumption of towels as well, because people are cleaning more often. So that's one overall effect. Specific to last year though, starting with, I think it was the second or third week of March, we started to see extreme elevated levels of consumption, with consumers stocking up and that's when you recall, all the shelves were empty. I think the third week of March last year the scanner data would say the category was up 212%. So that's one lap I think we will not see that as much this year. And that's certainly a piece that we're going to have to cycle. And we saw that behavior starting in March and it remained through a big piece of the second quarter. So I think the consumer stock up effect will come out over time, but I think for the first half at least, we'll continue to see elevated at home usage.
Andrea Teixeira: That's helpful. On the market share, can you help us like bridge as I know you mentioned that your market share is up which makes a lot of sense. So when – if you give us the cadence when your share really got better, so that's why you're probably building into that as well from a volume and value perspective?
Michael Hsu: Yes, Andrea. And then when the share question you're talking about North America tissue or more broadly?
Andrea Teixeira: Well, if you can open up both that will be super useful.
Michael Hsu: Yes, overall, I would say in North America tissue our shares I would say, our shares are kind of even with year ago and we're even down a little bit in our back tissue, primarily driven by supply constraints and so the demand is there. We're shipping everything we can make and trying to fill up both consumer and customer demand there. But we're actually down a little bit on share. But, I think the category had unprecedented 20% growth over the year last year in North American, so we really kind of moved mountains to serve the demand. I think, overall our shares were very strong for the year, as I mentioned in the remarks, we were up or even in about 60% of our markets globally or key cohorts globally. And I think we saw progression through the year and really strengthening in the second half of the year. And that's really factored in our thinking and is why we believe, particularly in our personal care business globally, which has been less affected by COVID. And if anything, I think the categories have been more -- faced more headwind due to COVID and then tailwinds globally. But the, for the year personal care was up 5%. We did see acceleration in the back half and very comprehensive growth across markets. If I, I'll just tell you, Andrea the shared growth was very broad based. We saw very strong performance in China in both [indiscernible] and diapers, Brazil, in the fourth quarter, Argentina, or we took on share leadership in diapers during the year. Peru, which I mentioned was a challenging market for us, in 2019, has really improved and we were up by multiple share points in the back half of the year. Eastern Europe, Russia, continues to see strong, robust shared growth. And as I mentioned, kind of the, the important emerging markets for us, like Africa and India we're also seeing good, robust shared growth as well.
Andrea Teixeira: That's super helpful. Thank you. I'll pass it on.
Michael Hsu: Okay, thank you, Andrea.
Operator: Thank you. Our next question comes from Jason English with Goldman Sachs.
Michael Hsu: Good morning, Jason.
Jason English: Folks have, hey, happy New Year. I think it's I don't think it's too late to say that just yet, still January.
Michael Hsu: Yes.
Jason English: Thank you, thank you. A couple of cleanup questions. First, in response to Lauren's question on birthrates, you talked about the category of last year, so growing well above infant population. I guess my question is, why do you think that is? Is this like a COVID benefit, parents at home, changing more frequently than the caregiver usually would? Is it a stock up dynamic or is it something perhaps more enduring that would prevent this category for reverting back to some population or maybe even overshooting some of the stuff on once?
Michael Hsu: Yes, well, Jason, I would say the category has behaved, as at least the data would suggest, meaning the last data that we had, and the birthrate data does lag by about a year. So the last piece of data we saw was down about 1% or 2%. And actually, as we got into 2020, I think a slight improvement, I think was down to one versus it was down two the prior year in 2019. In that range, and so I think the category, at least lagging year, with would say, has behaved similarly, in the sense of volume, I think, for the categories has been from quarter-to-quarter down one or two-ish, right in that range. So consistent with the birthrate, the category, dollar value has grown, because of premiumization. And I think, that is our core strategy for big develop markets, we still think there's a lot of opportunity for us to elevate our categories, our customers, believe that and I think we're seeing that in the performance, particularly with Huggies in North America, for the quarter, I think we were up over 3 share points in the diaper category. And, if you try to kind of put your finger on exactly what that is, there's nothing, there's no one silver bullet. There's a lot of things going on. And, we're excited about the innovation we've brought to the category. We have more comprehensive innovation we're bringing this year I think we're touching are focused on premium this year, and I think we're touching 75% our portfolio was really good innovation. And so we're really excited about that. But I don't know that we're defying the laws of gravity for category in the birthrate, it's been consistent. The things we hear Jason are are here, Jason around a five or Lauren mentioned 8% category declines. Those are forecast from third parties, but we haven't seen that in the data yet.
Jason English: Yes, no Sure. I'm That's the unpacking between premiumization is by environment really helpful. So I appreciate that. But let's take on the topic quickly. The Brookings Institute is one source project with America there's reports abundant reports across the developed markets from Japan to Australia to Europe et cetera, talking about declines during COVID. And also deceleration or even declines in emerging markets. So what are you expecting on a more global basis in terms of infant population? And what, if any implications? Do you think this could have a competitive intensity? Assuming that the addressable audience does shrink?
Michael Hsu: Yes, I mean, and certainly we're keeping close tabs on all that. And we have seen some deceleration in categories. I don't know enough data yet to call it birthrate, but certainly COVID related or population related. So certainly, we saw a decline in Russia, that actually tracks with the population dynamics with fewer women of childbearing age there. Korea, continues to -- I think we've seen improvement over the last couple years, but continues to be negative. And so I think in a handful of markets, we are seeing that in D&E, I think a little tough to call right now. And one of the things is, I think the COVID impact has been a little sporadic in those markets, where we've seen declines when the markets go into lockdown. But then, as I mentioned earlier with Brazil, a pretty good bounce back once the economy reopens.
Jason English: Got it. Thank you guys so much. I’ll pass it on.
Michael Hsu: Okay, thanks, Jason.
Operator: Thank you. Our next question comes from Chris Carey with Wells Fargo Securities.
Michael Hsu: Good morning Carey.
Christopher Carey: Hi, good morning. So I guess, by my math, maybe portfolio wide promotions are still running down, I don't know, 700 to 800 basis points as a percentage of sales relative to the end of last year. And I guess I'm hearing comments about, how to be more efficient on trade spending, and maybe even how that's potentially sustainable. So I guess, these promotional levels stay lower over the course of 2021 especially if demand remains elevated. And it gets, just like more simply put, can these lower promotional levels stick longer than, I think what people have been anticipating, right, because that would potentially have pretty important applications for competitors, the broader sector. And so, maybe I'm reading too much into that. But if you could just talk about, if you've learned something from this past year about how much you do need to spend and how sustainable that might be going forward. And I appreciate any perspective there.
Michael Hsu: Yes, well, Chris, I think you're hitting a kind of an important spot for me. I mean, philosophically, I just, I don't like, I don't believe in over promoting categories. And really, for me, but the purpose of promotion, at least that I tend to sign up for is it's the drive trial of your brand, right. And, whether you have important news or you're trying to get that brand to a population that hasn't experienced before, so, that's, for me that the strategic point. I do think when categories get over promoted; it tends to drive some commoditization. And over time, I think it lowers the growth potential of that category. So for me, I would like our organization to be very disciplined about how we reintroduce promotions into the marketplace. Certainly I think we're, we have great partnerships with our customers and recognize the importance to build their business, and we're going to be great partners with them. But I do think, how we think about promotions, I think you're asking the right questions. And so for us to be continue to be very disciplined about how we think about it, and how we manage it will be important going forward. And the other part of it is it's a big spend for us. And it's not, in any given year, the money is not perfectly spent and so we can always get better. That's why we've invested in capability and brought in a lot of tools and our revenue management capability to give us the analytics to help us spend that money more wisely going forward.
Christopher Carey: Okay, thanks. And maybe just one follow up, just longer term and I guess to use your word, may be philosophically, the professional channel, is obviously going to come back to a certain degree, whether it comes back to the levels that it had pre-COVID as, people changed how they work and in general, how they interact with these locations. Can you just talk about maybe the capacity in this business and what if people are going to these channels much less often, what you might need to do to right size this organization for the long term or whether spare capacity can be used for other things? So just basically a longer term perspective on that professional business maybe over the next couple years? Thanks.
Michael Hsu: Yes, great, great point also, as well, Chris and I will say our professional team has done a great job pivoting. And so, we did see strong sequential improvement in the quarter behind their pivot to wipers and safety products. And, but you're right, the core washroom business improved sequentially as well in the third quarter still down. I think the -- having both sides of the business, both professional side, and the consumer side is a good benefit for us. And so it does give us the ability to move capacity around to some degree. Certainly in the professional side, we do have some assets that are unique to professional, but over time, I think we are expecting the professional business to return. It may not return -- I don't know yet whether it will return to pre-2020 levels, that remains to be seen. I do hope that that does, but I think we have -- we will have proven over time to be able to manage our capacity and our asset investments to right size the business for either growth or to shift businesses or asset capability to other businesses, we can utilize those assets more efficiently. So we'll make the right business decision. And I'll just point out that again, margin expansion is core to kind of our job and what we do and so we'll continue to make the right management decisions over the long term.
Operator: Thank you. Our next question comes from Lauren Lieberman with Barclays.
Lauren Lieberman: Thank you. I'd like to get back in. I just had a question about longer term margins Mike and Maria. I mean, I know the 2022 plan speaks to a goal of longer term margin expansion. And you mentioned it again today in passing as something that's important for the business, even if it's a challenge in 2021. But I just was curious about any kind of view on margin trajectory from here; let's say over like a three-year time horizon, just given the conversation on commodity costs, given that you've had some nice benefits this year from the higher throughput. I was just curious if you thought margins had kind of hit, what one would call a peak level or if there's still margin expansion opportunity here for the company over the next kind of two or three years?
Michael Hsu: Yes, Maria, I don't know if you want to lead off there.
Maria Henry: Yes, sure, I think more longer term our outlook for the margins of our three segments haven't changed as you know this is -- this year has some unusual dynamics as did last year. But over time, it is our expectation and intent to improve the margin in the business over time. And that will go hand-in-hand with a number of the key things that we're working on, additional support on the top line, and we'll get leverage on the top line growth continued focus on productivity. We're not done on the productivity side of the house, there's, more to come there. And then the meaningful investments that we have been making and continue to make in terms of commercial capabilities, better positioning us to respond to what might happen in the macro environment. All of that is kind of the basis for our belief that we can continue to expand margins over time. And we've talked about personal care in the very high teens to low 20s tissue in the mid to high teens. And so we continue to have those as our long-term objectives.
Lauren Lieberman: Okay, that's great. Thanks for letting me sneak that in.
Michael Hsu: Okay, thank you, Lauren.
Operator: Thank you. At this time, we have no other questioners in the queue.
Michael Hsu: Okay, well, thank you. Certainly we feel like we're very well positioned. Our categories are essential. Our brands are healthy and we think there's lots of room for us to elevate and expand our categories. So thank you for joining us today.
Paul Alexander: Thank you very much.
Maria Henry: Thanks, everyone.
Operator: Ladies and gentlemen, that concludes this morning's presentation. You may disconnect your phone lines and thank you for joining us today.